Operator: Good day, and thank you for standing by. Welcome to Endeavour Mining's Third Quarter 2025 Results Webcast. [Operator Instructions]. Today's conference call is being recorded, and a transcript of the call will be available on Endeavour's website tomorrow. I would now like to hand the call over to Endeavour's Vice President of Investor Relations, Jack Garman.
Jack Garman: Hello, everyone, and welcome to Endeavour's Third Quarter 2025 Results Webcast. Apologies for the slight delay getting started. Please note our usual disclaimer. On the call today, I'm joined by Ian Cockerill, Chief Executive Officer; Guy Young, Chief Financial Officer; Djaria Traore, Executive Vice President of Operations and ESG; and Sonia Scarselli, EVP of Exploration. Today's call will start with Ian presenting the highlights followed by Guy walking through the financials. Djaria will present our operating results by mine, and Sonia will provide an exploration update before handing back to Ian for his closing remarks. We'll then open the line up for questions. With that, I'll now hand over to Ian.
Ian Cockerill: Thanks very much, Jack. Hello, everybody. And again, as Jack said, apologies. Unfortunately, me and the team were here in Dakar today, and unfortunately, Orange decided to do some unscheduled maintenance on the line, so hence the delay. But glad to say we're back up and running. As I said, we're dialing in today from Dakar having just returned from our Sabodala-Massawa mine with the Board. We had a very productive trip and it was pleasing to see the strong and consistent performance specifically from the BIOX plant. Q3 2025 has marked another quarter of solid operating performance for Endeavour. As previously guided, production was a little lower with costs a little higher than the prior quarter with operational performance set to improve going into Q4. Our strong year-to-date production leaves us well positioned to achieve the top half of our production guidance with 82% of the low end of the range already achieved. Meanwhile, our year-to-date all-in sustaining costs of $1,365 per ounce is on track to achieve our guidance, accounting for the impact of the higher gold prices on royalty costs. Looking ahead, we're focused on our organic growth pipeline. On Slide 7, you can see our performance so far this year. We've maintained a low lost time injury frequency rate significantly below the industry average, and we had no loss time injuries during the quarter, and we continue to strive to zero harm. We've produced 911,000 ounces year-to-date, and with a strong Q4 outlook, we're well positioned to achieve the top half of our production guidance. Our year-to-date all-in sustaining cost of $1,362 per ounce is on track to achieve the full year guidance. We have seen approximately $103 per ounce impact on royalty costs from the higher realized gold prices compared to our guidance gold price of $2,000 per ounce. Accounting for this, our all-in sustaining cost is in the middle of the guidance range, with Q4 performance expected to be an improvement on Q3. Turning to Slide 8. Our year-to-date performance has significantly improved this year compared to last year, following the startup of our 2 projects in Q3 2024. We've produced 170,000 ounces or 23% more so far this year, and our all-in sustaining margin is 90% higher than last year, aided, of course, by the strong gold price. While our margin has improved significantly, thanks largely to the gold price, it is important to highlight that our all-in sustaining costs remain firmly in the first cost quartile despite the gold price driven increases in our royalty costs and amongst the best of our peers year-to-date. While we expect to see all-in sustaining cost increases across the sector in the near term, we will continue to focus on controlling what we can control, delivering productivity initiatives and the development of our low-cost pipeline projects, which will more than offset any cost increases in the medium term. Firstly, through our Tier 1 Assafou project, which continues to advance on track with the environmental permit now approved and the definitive feasibility study exceeded in early 2026. We're making good progress towards first gold in H2 2028. Secondly, we're accelerating our exploration program, primarily at our cornerstone mines, but also through our greenfield programs, we're expanding our pipeline to strengthen our long-term organic growth options, and we'll be announcing our new exploration strategy in the coming weeks. On the financial side, our solid Q3 performance underpins significantly improved free cash flow, which is expected to increase materially in Q4 and into next year. Year-to-date, we generated a record $680 million. And over the past 12 months, we generated nearly $1 billion another record that's equivalent to a 19% free cash flow yield from the start of Q4 last year. This cash flow has supported our balance sheet strength, and we've seen improvements in our net debt and leverage which remains comfortably below our target. We also significantly reduced our gross debt, paying down the balance of our RCF during the quarter. With solid operational performance and strong cash flow generation, we continue to increase shareholder returns, returning $233 million so far this year, already exceeding our minimum commitment. And with the announcement of our H2 dividend in January, we expect to return the minimum of $346 million to shareholders for the complete year. In January, we'll also announce our updated shareholder returns program. We expect to significantly increase returns and continue to be sector-leading throughout the upcoming Assafou build phase. With strong momentum built over the last 12 months and an even stronger outlook, we're well positioned to continue delivering sector-leading organic growth and sector-leading shareholder returns. On Slide 10, our strong year-to-date operating performance, coupled with strong prices translated into a 110% increase in adjusted EBITDA compared to the same period last year, to more than $1.6 billion. Our adjusted EBITDA margin also increased by 10 percentage points to a very healthy 55%. We translated this performance into stronger free cash flow, as you can see on Slide 11. For the first 3 quarters of the year, we generated $680 million of free cash flow, and over the last 12 months, generated $948 million or the 19% free cash flow yield from the start of Q4 '24. As we look forward, we expect stronger operational performance in the coming quarter coupled with reduced seasonal taxes and higher gold prices. This will underpin even stronger free cash flow generation. On Slide 12, you can see that given our strong operational and financial performance, we've continued to increase our shareholder returns. During the quarter, we paid our record H1 2025 dividend of $150 million, which we supplemented with $83 million of share buybacks so far this year. Total returns paid having come to $233 million, exceeding the $225 million minimum dividend. And with our H2 '25 dividend to be announced in January, which will be a minimum of $112.5 million we expect to return that minimum $346 million to shareholders this year, and that's before any supplemental dividend for H2 or any buybacks for Q4. On Slide 13, we've returned over $1.4 billion to our shareholders over the last 4.5 years, 83% higher than our minimum commitment over the period. And that's equivalent to 72% of our free cash flow generation over that period, demonstrating our commitment to returning supplemental cash to our shareholders. Looking ahead, we'll be unveiling our updated shareholder returns program early next year, covering the next growth phase, and we expect to outline significantly higher minimum commitments going forward and maintain the sector-leading returns that you all become used to, through our upcoming growth phase. On the growth side, our outlook compares very favorably against the consensus growth outlook for our peers, and that does not include some of the brownfield opportunities that we are advancing, which can supplement this outlook possibly even further. A significant part of this growth is expected to come from our Tier 1 Assafou project in Côte d'Ivoire, which you can see on Slide 15. The Assafou project continues to advance with a definitive feasibility study tracking for completion in Q1 '26. We were very pleased to receive the environmental permit approval in September which we believe is a significant milestone towards full project approval with the last major approval being the exploitation permit, which we expect towards the end of Q1 next year. On Slide 16, you can see we continued to accelerate exploration, and we've made good progress at Sabodala-Massawa, Houndé and Assafou. We're also looking at other Tier 1 gold provinces to strengthen and diversify our long-term organic growth outlook. Our aim is to have multiple potential development projects, each competing for internal capital that extend our pipeline even beyond Assafou. We completed the first transaction with Koulou Gold in Côte d'Ivoire last year, and just recently, we completed the second transaction with East Star Resources in Kazakhstan, a relatively modest $5 million investment over a 2-year period to identify potential Tier 1 targets in one of the world's most prolific and under-explored gold provinces. Sonia will take you through this in a little bit more detail later on. But before I hand over to Guy to go through the financials, I just wanted to touch on our commitment to ESG and our social license to operate. Sustainalytics has improved our score and reiterated our low score rating, which again positions us as the best rated gold producer in the sector, recognizing our long-term work on ESG. We're also proud to see recognition for the work we're doing reflected in our host countries with national honors, including Best Mining Company in Senegal and Best Company Committed to Local Content in Burkina Faso and congratulations to Ity's General Manager, Drissa Soro, for winning the National Award of Manager of the Year in Côte d'Ivoire. These recognitions highlight our deep commitment to developing and promoting local talent, boosting local economies and empowering our host communities. And with that, let me pass you over to Guy to talk you through our financial results. Guy, over to you.
Guy Young: Thanks very much, Ian. Moving straight into our quarterly financial results. Without going through all of the details on Slide 19, I'll just pick out some of the key line items that I will come to later on in the slides. Our production in Q3 was slightly lower and our costs slightly higher than Q2, in line with our mine sequence and as noted in each of our quarterly presentations this year. This resulted in slightly lower earnings whilst operating cash flow before working capital improved by 33% and free cash flow improved by 59%, benefiting from seasonally low withholding and income taxes as well, of course, as higher gold prices. Turning to Slide 20. Our operational performance remained solid during Q3, and we are on track to achieve the top half of our production guidance with costs adjusted for the impact of higher gold prices on royalties also within the guidance range. Production declined during the quarter due to lower grades processed across the portfolio, coupled with the impact of the wet season, which reduced throughput at Houndé and Lafigué specifically, and was exacerbated by the acceleration of production in H1 at Houndé to derisk our annual production targets. Our all-in sustaining margin decreased slightly, despite the higher gold prices, due to lower grades processed, lower mining and processing productivity as a result of the wet season and the impact of higher gold prices on royalties. Moving to Slide 21. Our adjusted EBITDA decreased quarter-over-quarter due to the lower production at slightly higher costs, while the impact of the higher gold prices was lessened by the realized losses on financial instruments related to the settlement of the gold collar. Our operating cash flow increased by 22% quarter-over-quarter, shown on Slide 22, mainly due to the lower withholding and income tax payments as well as the higher gold prices. The majority of our income taxes and all of our withholding taxes have now been paid for the year with less than 15% of total taxes outstanding and to be paid in Q4. With improved production and costs expected, coupled with lower cash taxes and higher gold prices, we're extremely well positioned to deliver stronger operating cash flow in Q4. If we turn to Slide 23 now, and compare Q3's operating cash flow with Q2, improvement was driven by, firstly, a $97 per ounce increase in the realized gold price to $3,247 per ounce, inclusive of the impact of the realized losses on gold collars, a decrease in cash operating expenses as a result of lower production and a stockpile build, lower income taxes paid due to the timing of payments in the region, generally being more weighted towards Q2 and the timing of withholding taxes, which are typically paid in Q2 and Q3, but were expedited this year, reflecting an improvement in the efficiency of the upstreaming process internally and with the West African Central Bank. These increases were offset by lower gold sales related to lower production and a working capital outflow related to inventory and receivable buildup that I'd like to walk you through in more detail now. Slide 24 shows the two key drivers of the working capital increase of $85 million in the quarter, being inventory and receivables. The majority of the inventory increase, both in the quarter and year-to-date is due to stockpile increases at Sabodala-Massawa, Lafigué and Ity. Stockpiles have increased at Sabodala-Massawa as we have mined and stockpiled the exceptionally high-grade Massawa North zone deposit, which we expect to start processing in the second half of next year. At Lafigué and Ity, we've also been accelerating mining activity to build stockpiles and are expecting to see continued improvement from the plants, which will draw down on these stockpiles starting in Q4 of this year. The increase in receivables is entirely due to higher VAT receivables and exacerbated by a foreign exchange revaluation of more than $20 million year-to-date. In Burkina Faso VAT refunds continued to be delayed this year, except for an offset arrangement of $23 million in Q3 that is reflected in financing activities in the cash flow. We are actively looking at opportunities to resolve this through various factoring solutions to help expedite the receipt of these refunds that should see a reduction from next year. In Côte d'Ivoire, VAT refunds are processed quarterly. And at our new Lafigué mine, the setup of the administrative process to claim these VAT refunds has been slow. We've started to receive VAT reimbursement claims in Q3 and we expect this to now start accelerating into next year. In Senegal, where we have monthly VAT refunds, they continue as usual with a slight buildup related to the start-up of the BIOX plant and additional VAT being paid. We expect this to normalize from early next year. While we expect the full year working capital outflow, we should start seeing progressive improvements in both our inventory and receivables from Q4 and will further accelerate this improvement into 2026. In terms of our free cash flow shown on Slide 25, we continue to generate strong free cash flow in Q3, delivering $166 million, $61 million higher than the prior quarter due to the lower cash taxes and higher realized gold prices I've already touched on. As mentioned, we expect free cash flow to grow in Q4 with the improved operational performance, lower taxes and higher gold prices. Moving now to Slide 26. The strong free cash flow generation has allowed us to strengthen our balance sheet and reduce our leverage to 0.21x net debt to adjusted EBITDA, comfortably below our target of 0.5x. Given our strong cash flow outlook, our low leverage positions us well ahead of our upcoming growth phase to be able to deliver our organic growth projects and continue paying sector-leading shareholder returns. As I've mentioned in the past, we are not looking to build up a net cash position as we can comfortably meet our strategic objectives with leverage below 0.5x. On Slide 27, we are pleased to have materially reduced our gross debt through the full repayment of our revolving credit facility during Q3. We paid down $472 million quarter-on-quarter and reduced gross debt by 38% to $678 million. We expect this to be reduced further over the coming years, as we progressively pay down our Lafigué term loan in line with the amortization schedule. Finally, moving on to net earnings on Slide 28 and focusing on just the key items impacting the quarter. We incurred $49 million loss on financial instruments, which included $69 million realized loss on gold collars which was partially offset by an unrealized gain on the outstanding gold collars for Q4. The final delivery into our gold collar program will be 50,000 ounces at the end of this quarter, which based on prevailing gold prices should support improved cash flows in 2026. Our income tax expense was significantly lower during the quarter. This is due to lower taxable profits and lower withholding taxes recognized. Our deferred tax expense was also higher due to movements in foreign exchange on the opening deferred tax balances and the accrual of FY '25 withholding taxes. Adjustments were limited during the quarter as the unrealized gain on gold collars was largely offset by other expenses and foreign exchange on our deferred tax balances. We reported another strong quarter of adjusted net earnings per share of $0.66, albeit slightly below the prior quarter, largely due to the lower earnings from operations and a higher realized loss on gold collars. Thank you. And with that, I'd like to hand over to Djaria.
Djaria Traore: Thank you, Gary. During quarter 3, I'm pleased to report that we maintain our industry-leading safety record, with a loss time injury frequency rate of 0.05. Unchanged from quarter 2, 2025 or most importantly, we had no loss time injury. While our safety performance position us among the safest mining companies globally, we remain vigilant and we reject complacency. We continue to focus on training to foster the strong safety culture that we have across the business. Moving on to Slide 31. Quarter 3 marked another solid quarter of operating performance, which contributed to a strong year-to-date production of 911,000 ounces and puts the company on track to achieve the top half of our production guidance range. On cost, we're pleased with the year-to-date performance with all-in sustaining cost of $1,362 per ounce, which has been impacted by $103 per ounce of higher royalty due to higher gold prices than our guidance set at $2,000 per ounce. Adjusting for these impacts, our all-in sustaining cost is firmly in the middle of the guidance range. Across the portfolio, all the assets are on track to achieve the production guidance. With Houndé and Sabodala-Massawa, expected to achieve the top half of the range, while Lafigué is expected to achieve the lower half. On cost, it is Sabodala-Massawa, Houndé and Lafigué are on track, with Lafigué expected to land near the top end and Mana expected to be above the top end of the range. Despite this at the group level, we are well positioned to achieve our guidance range when accounting for the impact of royalties. I will now run through the mine-by-mine details, starting with our mine of Ity on Slide 32. Production decreased quarter-on-quarter as expected. We processed a lower grade ore from the Le Plaque and Ity pit in line with the mine sequencing. All-in sustaining costs increased, driven primarily by lower gold sales volume, higher royalties due to increased gold price and higher sustaining capital. Ity is on track to achieve its 2025 production and cost guidance, and we are evaluating opportunities to reduce mining costs through development of the Ity Donut, which should provide us efficiencies by deploying a hybrid mining fleet within an expanded optimized pit over the coming years. Let's now turn our mention to our Houndé mine on Slide 33. Houndé had a very strong start of the year as we have accelerated high grade into to H1, to derisk the impact of the wet season. And as expected, production decreased quarter-on-quarter. On cost in quarter 3, we saw an all-in sustaining cost decrease, driven primarily by lower sustaining capital as wet stripping requirement eased. Houndé is well positioned to deliver production in the top half of the guidance range with costs well in line. As we have highlighted previously, looking ahead to the next year, we expect we will continue stripping the Vindaloo main pit Phase III cut back and mining lower grade from Kari West and Vindaloo, which will result in high cost for the first half of the year. We should progressively improve as the stripping concludes, giving access to higher grade ore. Moving now on to Mana on Slide 34. Production declined slightly in quarter 3 as we mined and processed lower grade from Wona underground deposit. While the cost increased slightly due to the lower grade, lower production and sales and higher gold price impact in royalty costs. At Mana, we are pleased with our production performance but there is still work to be done on cost. Importantly, we have now completed the changeover of our underground contractor, and we expect to start realizing some of the productivity benefits including a significant increase in development rate and total development meters next year, driven by expected improvement in equipment availability as well as the operating efficiencies by using a single underground contractor, which we expect will drive unit cost improvement into next year. At the same time, we are improving the underground mine power stability, through the installation of a transformer and the automation of our on-site power plant to smooth switching between the grid and self-generated power. Combined, these initiatives will allow us to increase our reliance on the lower-cost grid power for the underground from early next year, which should also support cost improvement. For the year, Mana is well on track to achieve the production guidance, but costs are expected to be above the guided range due to the reliance of self-generated power for the underground and higher sustaining capital as we are accelerating development in the Wona deposit to gain access to higher grid more quickly. At Sabodala-Massawa on Slide 35, production decreased only slightly in quarter 3 as lower grades were processed through the CIL plant, despite higher throughput recoveries for the CIL plant and higher grades as well as recovery through the BIOX plant. On all-in sustaining costs increased largely due to the impact that the unusually long and heavy rainfall had on mining and processing productivity, as well as higher royalty costs due to higher gold prices. It's pleasing to see the technical review at Sabodala-Massawa starting to positively impact performance. Following the acceleration of mining activity at Massawa central zone, we are now mining consistent higher grade, which came in at over 4 grams per ton for quarter 3. And on recovery in the BIOX plant, we were pleased as well to achieve an average of 82% for the quarter, which is a significant improvement from where we started last year, and well on track to achieving our life of mine target of 85%. Recovery improvement has been driven partly by increased and better quality fresh ore from Massawa Central Zone, but also better feed consistency, which allow us to optimize flotation control and flotation tail leaching. We expect to drive more improvement as we optimize the gravity circuit later this year into next year. Looking ahead to quarter 4, we expect higher production from the CIL plant due to improved throughput and grades while our production from the BIOX plant is expected to remain consistent, position us to achieve the top half of the production guidance with costs in line with guidance. Looking ahead to next year, we will continue to drive the technical review forward to outline on incrementally improved production outlook as we accelerate underground development to drive further production improvement over the coming years. Lastly, turning to Lafigué on Slide 36. Production declined during quarter 3 as we saw lower throughput, though a 35% higher year-on-year and reduced grade mine and process from the main pit, as mining activity shift towards stripping to accelerate access to more higher grade to support the processing plant, which is now consistently running above design nameplate. All-in sustaining cost increased but mainly due to lower gold sales and higher royalty costs due to gold prices. As we move into quarter 4, we are expecting grade and cost to improve, and Lafigué is tracking towards the lower half of its full year production guidance with the all-in sustaining cost near the top end of the range due to the lower level of production. I will now hand over to Sonia to walk you through our exploration highlights for the quarter. Sonia?
Sonia Scarselli: Thank you, Djaria. I'm pleased to be joining the quarterly webcast to provide you with an update of our exploration activities at some of key properties. This is also a timely update as we expect to announce our new exploration strategy for the next 5 years later this quarter. The new strategy will underpin our continued sector-leading organic growth Sabodala-Massawa on Slide 38, we are advancing the 2 high priority exploration targets called Makana and Kawsara. In Makana, we are accelerating the resource definition of the 2 high grade non-refractory mineralized deposits. This could potentially support the near-term mine plan in Sabodala-Massawa and affecting some lower grade feed and improving production. Kawsara is a potentially large non-restructuring resource located approximately 35 kilometers South of Sabodala-Massawa and can support a significant increase in the endowment and provide increased life of mine optionality, maiden resources reports are expected next year. Moving to Houndé on Slide 39. We have increased our exploration budget as we continue to drill high grade intercept at Vindaloo deeps deposit. The target looks to be very large and very high grade and could support a material improvement in the mine plan. We expect to have a maiden resource for Vindaloo Deep in Q1 2026. Elsewhere in the operating portfolio, we have completed the drilling the holes in Mana to delineate the continuation of the Wona underground deposit. At Ity we are developing several early-stage opportunities along the Ity trend in Lafigué. We expect to start drilling on several near mine targets early next year. Moving now to Slide 40 and our Tier 1 Assafou project. During Q3 2025, we completed a 23,000-meter drill program at the Pala Trend 2 and Pala Trend 3 targets located a few kilometers to the west of the main Assafou project. Drilling successfully expanded the mineralization over a 3-kilometer strike length along the similar Tarkwaian - Birimian contact to the one at the Assafou deposit, on the southwest side of the Assafou basin. We expect to complete the definition of maiden resources for the Pala Trend targets later in Q4. And finally, on Slide 41, I want to give you a bit more color on our new joint venture with East Star resources that Ian mentioned earlier. While our new exploration strategy will prioritize existing operation, we will also be increasing our greenfield exploration spend, focused on strengthening and diversifying our exploration pipeline to support our longer-term organic growth. While we expect most of this growth to come from our existing West African portfolio, we are also entering into some highly prospective Tier 1 gold provinces with low exploration maturity and where we have an early mover advantage. We are taking a low-risk and low-cost venture approach, giving us the ability to leverage our joint venture partners a technical expertise and their knowledge of the operating environment in this region. We signed a joint venture with East Star Resources, a Kazakhstan-based gold and base metal explorer targeting 2 highly prospective belts in Northern and Central Kazakhstan within the highly prospective Central Asian Orogenic Belt, the hosts multiple Tier 1 gold deposits. We will invest $5 million over a 2-year period to earn 51% interest in the joint venture company that will be operated by East Star who are well integrated in the country, and have been operating there for over 5 years. From day 1, we will have control over the exploration program through our Board and technical committee seats. We expect to continue to leverage local exploration vehicles in a highly prospective Tier 1 gold provinces to expand that exploration pipeline and ensure that we have a multiple high-quality organic growth project that will compete for capital with each other and will underpin continued portfolio pipeline and production growth. With that, Ian, back to you.
Ian Cockerill: Thank you, Sonia. With our strong operating momentum and the supportive gold price environment, we're well positioned to build on our year-to-date performance through the remainder of this year and into 2026. The high quality of our portfolio and the resilience of our business ensures that we are well positioned to sustainably deliver both sector-leading organic growth and sector-leading shareholder returns. We look forward to talking to you in January when we come back with the Q4 results, and we're very, very looking forward to seeing how they turn out. It's looking promising. And with that, let me hand you back to the operator for Q&A.
Operator: [Operator Instructions] And the questions come from the line of Wayne Lam from TD Securities.
Wayne Lam: Maybe at Sabodala, just wondering if you may be able to give us a bit of color on what you're seeing in terms of the stability of the government on the ground there? And are you in discussions on any potential renegotiation on the mining code in country?
Ian Cockerill: Wayne, thanks. Look, in terms of stability of the government, having spent the last week in the country, you get a good sense just being in the streets, in the towns, talking to people, I'm not seeing anything abnormal here. There are some current discussions going on at government level around what they're doing. We are not in any negotiations with regard to change in mining codes in the country. Would I suspect that they will come? I think we've seen elsewhere in West Africa there is a tendency to want to modify. Bear in mind that the mining code in this country goes back to 2013. So it probably -- it's fair to say it's likely to be due for renewal. So if it comes would I be surprise? No. But the dialogue between ourselves and government I think, is fairly good. And I think if there are going to be any changes, there's certainly going to be well telegraphed, and I would sincerely hope that we will have a high degree of input into what goes into them. But I don't see any immediate change in the immediate future.
Wayne Lam: Okay. Great. And then maybe just wondering on the recent JV signed with East Star. Can you just talk about the strategy going forward regionally for the company? Just given Endeavour's long-standing history, of operations in West Africa, are you still keen on expanding within the countries where you operate? Or are you now looking to diversify out into other developing regions globally?
Ian Cockerill: I think the answer as I mentioned previously, Wayne, we still see good potential in West Africa. We're really sort of doubling down, particularly on our brownfield exploration, I think -- you can see what Sonia mentioned about specifically at places like Sabodala, highly, highly prospective piece of real estate. We just got to go and look for it. So we are certainly not walking away from West Africa far from it. But we do recognize that looking forward and bear in mind, exploration is a long-term game. This is not something that we're doing for the next quarter. The reason why we're expanding and taking sort of baby steps outside of West Africa is we're actually looking longer term. We're looking for the mines we will develop in the 2030s that's sort of time horizon that we're looking at. And our focus is going to be on those areas that we think are highly prospective, relatively under-explored where we believe that our unique exploration expertise can be applied and we can be equally successful over the next decade as we've been, if you look back over the past decade in terms of cost-effective discovery of ounces of gold.
Operator: We are now going to take our next question and the questions come from the line of Richard Hatch from Berenberg.
Richard Hatch: Yes, two questions. Firstly, just following on from the previous question around tax and royalty regimes in West Africa. It has been a theme amongst some shareholders, just questions around that. And I guess you've got your stability agreement in Senegal and Burkina has already moved on that. But what about Côte d'Ivoire, what are you kind of hearing or you're seeing in Cote d'Ivoire? And how should we think about changes to royalty regimes in Côte d'Ivoire, tax and royalty regimes in Côte d'Ivoire. That's the first one.
Guy Young: Hey Richard, Guy. Richard in Cote d'Ivoire, I think a relatively well publicized discussion continues between the Chamber of Mines on which we're obviously represented and the state. The state's primary focus appears to be, amongst other things, on the royalty rates. It's important to us, obviously, predominantly with regards to Assafou because that's the sites which we'd like to start developing but for which we don't have any signed convention. So that's the key aspect for us. In terms of Ity, in particular, we do have, as you know, stabilization clause in which we would rely to avoid any near-term increase in royalties till such time as we're looking for permit renewal. Lafigué, we would hope to be signing a convention relatively soon, at which point we'd be able to confirm. But there is no doubt there is ongoing and upward pressure from all of the states, including Cote d'Ivoire, particularly in terms of that royalty rate.
Richard Hatch: Understood. I'll ask my second one, but just to be clear, you can go forward with Assafou construction without having that convention signed? Or would you prefer to have it before you go forward? And then the follow-up, sorry, was how significant is a significant hike in the dividend. So if I look at $225 million, I mean, a significant hike could be 30%, but that takes it to $300 million. So it's $300 million like a fair number, a rule of thumb? Or could it be more? Or how do we think about the significance of significant?
Ian Cockerill: Richard, in terms of the numbers that you've spoken of, you may say that we couldn't possibly comment at the stage.
Guy Young: Richard, we will, of course, be coming up with some more directional numbers very early next year. It's just a question, so significance is obviously a subjective term and the qualitative one of that open to interpretation. It's just that we do need to get to the end of our annual planning process. We need to take some views on gold pricing, reassessing cash flows, making sure we understand where we think the actual numbers are going to land. But in any of the scenarios, we see some significant -- apologies capacity for us to improve the current scenario, which we believe is relatively set for leading anyway and is only upside from here. But it won't be long, and we'll be able to provide you with a lot more quantitative directions.
Operator: We are now going to take our next question and the questions come from the line of Ovais Habib from Scotiabank.
Ovais Habib: Congrats on a good quarter and really glad to hear that production is tracking towards the top end of guidance. Ian, a couple of questions from me. I just wanted to start off with Assafou. Exploitation permit approval in DFS looks like they're on track to completion in Q1. Ian, there was a lot of drilling completed over the last couple of quarters, and Sonia did mention that mineralization extends over a 3-kilometer strike length and remains open. Obviously, that looks like there's a lot more further upside over here. Is this drilling going to be included in the PFS? And is there any change or a scope change in the PFS that we should expect?
Ian Cockerill: A great question. Thank you. Look, I mean we've actually addressed this issue previously. At some point, you actually have to sort of close off the reserve because you've got to do it against your published reserve and resource statement. We've taken the view that the numbers that we used in the PFS, which was 4.1 million ounce reserve would be the number that we would use for the study. But we're cognizant of the fact that there is potential upside from there. Having said that, it's our belief that the 4.1 million ounces is more than enough against which we can do a realistic study, the final feasibility study. But we will make sure that whatever design we come up with and that we finally go with has in-built flexibility and that would be the assumption that over the life of this project, there will be scope to expand the throughput over and beyond the 5 million ton a year, which is the design profile that we're using for the initial study. So we've decided to fix our view at that level, but the design will be flexible. We will not sort of bottle ourselves in. We'll leave lots of room and shape and capacity in the design. If we wish to increase capacity, we could do so and it's not going to make life difficult for ourselves. That's the approach that we've decided to take.
Ovais Habib: And then just moving on to exploration. The new 5-year exploration strategy is expected in Q4. Are we going to get a resource start rate like we did previously? And maybe a part-two to that is where is kind of the low-hanging fruit that you would be targeting in the near term?
Sonia Scarselli: Thanks a lot for the question. As I mentioned, the strategy will be presented on the fourth -- the next quarter. However, just looking at the next 5 years where we play. We will definitely double down in our existing operation. We have a pipeline of brownfield and greenfield that have been identified, that will move forward, especially the brownfield in the short term and greenfield will be progressed in the next 2, 3 years, to really keep building on that pipeline. In parallel, we're really looking to expand the portfolio. That's why we are looking at this low-cost entry strategy of joint venture with partnership and juniors in different countries. But definitely, in the short term, we have identified a strong pipeline for a brownfield in our existing areas and hoping applying new technologies and new data sets to actually continue to expanding on that.
Ian Cockerill: As we did previously Ovais, it would be the intention that we will be setting ourselves internal targets for achievement. So that we'll be doing as well.
Ovais Habib: And just in terms of brownfields that you talked about brownfield targets is the Ity Donut concept still in -- on the plate right now and that's going to be your focus going into 2026?
Ian Cockerill: Look, it's a plan, absolutely. I mean, there's -- you've seen the plans. We're busy doing the engineering studies. We're looking at the implications, what is meant by this. I think as we said previously, one of the real issues that we have at Ity is a very, very tight site. The Ity Donut requires a fairly high degree of ground movement. And the question is, where best do we put all the -- particularly the waste material? And that's what's requiring some very careful thought requiring us to do some fairly rapid condemnation drilling to make sure that in terms of waste par positioning, we're not putting on any future ore reserves and sterilizing stuff that we could go into in the future. But it's absolutely a very important part of organic growth opportunity potential within the group.
Operator: We are now going to proceed with our next question. And the questions come from the line of Fahad Tariq from Jefferies.
Fahad Tariq: Ian, I just wanted to come back to your first answer on Senegal. There's a Bloomberg article just this morning talking about the government seeking to perhaps change its mining code by the end of the year given the debt crisis in the country. Your answer said you don't see an immediate change in the immediate future. Can you maybe just comment on that? Like is it based on discussions that you've had with the government or the team has had with the government?
Ian Cockerill: Look, Fahad we've not had any discussions with government around the change. We also saw that comment. I think there's a huge difference between an aspiration and ability to deliver. And I think being realistic, there's no ways that the government may want to have a change in the mining code. But I do believe that it's not really going to happen. I mean, at Sabodala, our current mining code extends to 2040. So any changes to the existing 230 mining code are unlikely to affect us at Sabodala in the short term. So it's -- there's always lots of commentary. In fairness, as I think Guy mentioned earlier, all jurisdictions are looking at ways of increasing their take with the higher gold price received. And let's be frank, that's not unique to countries where we're mining. Every country around the world is looking at ways of grabbing extra tax dollars. So if you're asking me, is there going to be a change by the end of the year, I would say that's not going to happen. If you were asking me what is the trajectory? I think it's fair to say that the trajectory, like in all countries is likely to be higher, but over the longer-term time line of which I'm afraid at this stage, I can't actually define.
Fahad Tariq: That's helpful. And then just switching gears to exploration. Philosophically, is there a prioritization of mines that are, let's say, around the 10-year mine life and you want to maybe extend those mine lives, for example, Houndé and Ity? Or is it really just based on where you're seeing the most geologic potential, and that's where the exploration focus and the rigs will be?
Ian Cockerill: I think it would always be great if you had a short mine life, and there was lots of potential and you could focus there, that would be the logical thing to do. But your exploration focus is absolutely going to be where you believe is the maximum potential. We're very fortunate that in our portfolio, we have some great potential. And historically, there's been perhaps insufficient emphasis on the underground potential. And if you look at Sabodala, Ity, Houndé, all three of those mines have been fabulous mines within the portfolio that got really good underground potential. And we've recognized this that this is a great internal upside potential for the group. We are increasing our focus on underground exploration, but importantly, also bringing onboard people into the group who have got extensive underground mining, planning, execution capability. So we're preparing ourselves that a future within Endeavour is not just going to be open cut. It will be open cut as well as appropriate and commercially viable underground operations as well.
Operator: We are going to proceed with our next question and the question comes from the line of Marina Calero from RBC Capital Markets.
Marina Calero Ródenas: I have two questions on my side. The first one is a follow-up from previous questions on the JV agreement announced today. You're clearly looking to diversify into new regions. Can you comment where else you're seeing potential at the moment? And as an extension of that, how much capital are you looking to invest in these type of agreements going forward?
Ian Cockerill: Yes. Marina, again, I think previously, we flagged that we certainly have an interest in the Tethyan belt. So clearly, that's why Kazakhstan has been flagged as being high potential. Let me reiterate what I said earlier, which is areas of high prospectivity, the potential for Tier 1 deposits as well as being relatively under-explored where we can apply our previously acquired expertise and knowledge. And also perhaps our familiarity with specific geology, which is why we've also said that parts of sort of Northern-South America are highly prospective. It's the same geology as we're exploiting in West Africa. So those are the areas of focus. So it is -- it's not just a shotgun approach to expanding our exploration portfolio. It is a very deliberately focused program, where we believe our approach to exploration, our ability to have a higher probability of success we believe that we can actually repeat the success that we've had over the past decade. And going forward, do the same, generate more greenfield ounces and prepare ourselves for the next mines post-Assafou.
Marina Calero Ródenas: And I have one more question for Sonia. On the non-refractory targets that you're drilling at Sabodala-Massawa, can you give us a bit more color on that and when we could see those coming into the mine plan?
Sonia Scarselli: So for the Kawsara, we are still completing the drilling campaign that has two aspects, one on a very high grade part of the resources. It was infill drilling to really get to next year to an inferred resource. But in parallel, we are also doing the exploratory drilling to really understand the full expansion of the resource. So what we see today is an expansion of potential over 5 kilometers where the mineralization continues. That's why we are working with the team and fully understand the resource size will impact and where it will be scheduled on the mine plan. On the other opportunity, Makana, this is brownfield opportunity nearby our CIL facility plant. So we will accelerate in 2026 the drilling campaign to get into indicated resource. So the goal is to actually accelerate to the mine plan as we get into 2027 and display the lower-grade resources.
Operator: We are now going to proceed with our next question. And the question comes from the line of Anita Soni from CIBC World Markets.
Anita Soni: I just wanted to ask a couple of CapEx-related questions. On the fee gain, I think the CapEx has been shifting from sustaining to non-sustaining. And I think -- can you just give me some color on that? I thought you said was it related to just a focus on the different kinds of stripping that you're doing? And then should we then assume that, that sustaining capital will catch up next year? Is that a good assumption or not?
Guy Young: Anita, Guy. I'll try this, and if Djaria wants to add anything. Yes, you're absolutely right. There is a slight change in the Lafigué CapEx split. So there's another $10 million in our nonsustaining that is effectively associated with a revision to our stripping plant. So we're increasing some stripping at the main pit that's effectively allowing us better access in the short term to fresh ore and ounces. We will push stripping into nonsustaining from sustaining if the pushback or the strip itself is both ahead of life of mine strip ratio, as well as accessing ore that's going to be mined over multiple years. So in this particular case, those criteria being met, and consequently, is moved from sustaining to nonsustaining. I think over the longer term, we don't have any fundamental shifts in our expectation for total CapEx at the site, this is a question of short-term changes to mine plan.
Anita Soni: Okay. So the strip ratio is higher than life of mine and so it moved from the sustaining to...
Guy Young: In this particular strip.
Anita Soni: And then secondly, on Sabodala-Massawa, the processing costs dropped this quarter. And I'm just wondering, is that a function of something that's, I guess, more sustainable? Or is that really just a function of the higher contribution of the CIL or which I presume is slightly cheaper than the BIOX?
Guy Young: Anita maybe I can chat to you offline just to understand exactly the quantums you're looking at. It's fair to say, though, from a broader trend perspective, yes, our processing cost at Sabodala have benefited from some improvement in recoveries, which we touched on earlier in the call. The other impact that you're likely to see having started to come through in our '25 numbers and arguably going to be a bigger contributor into 2026 is the solar investment. Our solar investments, which started coming online, this year is an investment to which we've been very proud of, not only for its ESG credentials, but the fact that it does have a fundamental improvement to our operating costs. So as the solar has ramped up, it's starting to contribute to a growing proportion of our overall power consumption. And that, I think, again, as a long-term trend, should be underpinning sort of the improvements you're seeing in processing costs at Sabodala.
Operator: [Operator Instructions] And the question comes from the line of Mohamed Sidibe from National Bank Capital Markets.
Mohamed Sidibe: Guy, I think you mentioned that the goal is not to stockpile cash as you're advancing through the next year. Could you maybe help us understand what's the minimum amount of cash you would like to hold while advancing the build at Assafou in order to better understand maybe your capital return profile for your capital allocation priorities?
Guy Young: No problem. I'm afraid I'm not going to be able to give you even through the backdoor sufficient quantification to kind of reverse engineer the shareholder returns. But what I can just point to, which I think we've discussed before is in terms of minimum cash requirements, we fundamentally look to hold sufficient liquidity at both mine sites as well as offshore. And when we look at those numbers, we tend to look at $150 million of liquidity offshore. And we also like to keep around $15 million, $20 million of liquidity at mine site. I do keep trying to underline, the liquidity point here. So if we hold it in cash, that's fine, but it doesn't necessarily have to be in cash, it just needs to be liquidity availability. So I would reiterate the point made during the presentation itself. We have no stated short- or medium-term ambition to be holding cash piles. However, though cash piles as you would expect, form part of the capital allocation and ongoing capital allocation, and we will look to, of course, provide the right levels of liquidity and balance sheet strength. But equally, we will continue to focus on shareholder returns and CapEx, cash CapEx requirements of the business for organic growth. So there isn't a substantial amount of cash requirements or liquidity at either an offshore or a site level.
Mohamed Sidibe: All right. Great. And then maybe if I could follow up on the working capital side of things, you noted that you expect a big part of that to be coming on and flowing out in 2026. Should we expect this to be mostly coming out in 2016? Or would some be seen in 2027 as well? Just wanted to think about the amount and levels into next year.
Guy Young: Sure. Just to make sure I understood. You're talking about the unwind profile?
Mohamed Sidibe: Exactly the unwinding of the inventory and accounts receivable.
Guy Young: Okay. Perfect. So I think from a stockpile perspective, which is arguably the most material number. Yes, we see going particularly into 2026, partly as a result of the mine plans, the ability to start unwinding. And in particular, as I mentioned, it's likely to be happening at Lafigué as well as Sabodala. Sabodala, as we start blending slightly differently and looking to change our process plant feed, we should see North Zone materials starting to become consumed in H2 of '26. Lafigué, it's the same point. We've got a plant that is currently managing to produce well above nameplate capacity. And as a result, we've stockpiled in order to be able to ensure that, that plant is filled through 2026. So whilst I think the trajectory is better for 2026, I think it would be presumptious to assume that we'd be able to consume all of our stockpiles. Clearly, there are going to be stockpiles consumed over life of mine. But there is an improving trend between '25 and '26 as I've described. I think slightly more difficult to answer is on the VAT. Where we have higher degrees of confidence is in and around Cote d'Ivoire and Senegal. Cote d'Ivoire is associated with Lafigué. Lafigué having just come online and as it turns out simultaneously, the state of Cote d'Ivoire implemented a new administrative process and an online automated process in the same year. Those two things did end up slowing down our ability to submit and claim VAT reimbursements. The quarterly nature will not change. So I expect us to be able to stabilize the level, which is slightly lower than where we are now. And then that should -- and that would be in 2026. And then that would flatten in terms of overall movements unless the nominal amount changes. In Senegal, we remain on track. It's a monthly process. So that's just a question of lead time and the nominal amount if it goes up, associated with costs, it might increase slightly, but that I expect to remain relatively flat. The big unanswered one and very difficult to answer one is Burkina-Faso. We don't see Burkina-Faso as a counter-party risk, which is why we don't account for it as such. So our ECL associated with our VAT receivables is focused entirely on timing. The Burkina Faso state has always remained true to its word, and when it owes us money, it pays us. The question is around timing because they're under their own cash constraints. So we don't see the counter-party risk, but we remain cautious in terms of being able to commit two timing. And consequently, we're looking at alternatives where we might be able to look into some kind of factoring that allows us access to the cash. Failing that, arguably, this is going to a slightly longer-term issue, but not which -- not one which we believe is insurmountable. We'll continue to work on it between '25 and '26, we should see some improvement. But thereafter, we'll have to wait and see whether the success of the factoring program can be repeated.
Operator: And the questions come from the line of Felicity Robson from Bank of America.
Felicity Robson: At Mana, you're expecting costs above the top end of the guide in part due to higher power costs and issues around grid stability. How can we think about the cost profile going forward there, please?
Djaria Traore: Thank you, Felicity. I think as we previously mentioned last quarter, we know that we do have issue around cost at Mana, and we do still have a lot of work to do. We've mentioned that there are two or three key elements here is the reliance still on the self-generated power. Hence, we are currently improving some of the initiatives, one of them being the transformer that we'll be setting up. So normally, by the beginning of next year, we should be seeing an improvement, at least on the power cost because what that will allow us to do with that transformer is to be able to then use the grid on the underground mining. So that's one thing. I think on the quarter 3, what we've seen as well is that one-off cost due to the transition from two contractors to one contractor now, which we're very comfortable with. So with that, that means that there is a lot of productivity initiatives that we'll be putting in place. But one thing is for sure for Mana, I think what we've seen quarter-on-quarter is that in terms of production, which are stable. Mana is still contributing to the gold production as overall, is still generating cash. So I think for now, we just need to continue putting together some initiatives in order to reduce the costs at Mana.
Operator: Thank you. That will conclude today's Q&A session and today's conference call. Thank you for your participation. You may now disconnect.